Operator: Good day everyone and welcome to the CBS Corporation Fourth Quarter 2018 Earnings Release Teleconference. Today's call is being recorded. And at this time, I'd like to turn the call over to Executive Vice President of Investor Relations, Mr. David Bank. Please go ahead sir.
David Bank: Thanks Greg. Good afternoon, everyone, and welcome to our fourth quarter 2018 earnings call. Joining us with today's remarks are Joe Ianniello, our President and Acting CEO; Sean McManus our Chairman of CBS Board; and Chris Spade, our Chief Financial Officer. Following Joe, Sean, and Chris' remarks, we will open the call up to questions. Please note that during today's conference call, results will be discussed on an adjusted basis, unless otherwise specified. Reconciliations for non-GAAP financial information related to this call can be found in our earnings release or on our website. Also, note that statements on this call relating to matters, which are not historical facts are forward-looking statements, which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's SEC filings. A webcast of this call and the earnings release related to today's presentation can also be found on the Investor Relations section of our website at cbscorporation.com. And with that, I'll turn the call over to Joe.
Joseph Ianniello: Thanks, David, and good afternoon everyone. I'm pleased to report that CBS has turned in its best quarter ever in terms of revenue and profit as we increasingly benefit from being ahead of the game with our direct-to-consumer focus. Today, I'm going to give you a number of important updates about that part of our business and outline our direct-to-consumer strategy going forward. Then as you heard joining us today is Sean McManus the Chairman of CBS Sports. With more than 40 years in the sports television business Sean has developed and nurtured some of the strongest relationships in the entire industry. He will lay out our sports strategy including our partnership with the NFL which this past season culminated in CBS's broadcast of Super Bowl 53 just 11 days ago. After Shawn, Chris will provide you with additional color about our results and talk about our financial goals. But first let me frame the numbers for you. As you saw in our release, CBS delivered all-time highs in revenue, operating income and EPS for both the quarter and the full year. We also crossed $4 billion in quarterly revenue for the very first time and we have now grown our EPS for nine consecutive years in 36 consecutive quarters. Our track record is clear; we continue to grow CBS's revenue an EPS while positioning the company for an even brighter future. Working with our senior management team and our board of directors we have developed a long-term growth plan that will benefit shareholders for many years to come. The heart of this plan has always been the same creating and distributing premium content with mass appeal on a global scale. What's changing is the way people engage with that content and it's giving us an opportunity for a better business model. This is why a few years ago we began pivoting to direct-to-consumer, it gives viewers the experience they're looking for while providing better economic terms for us a great combination indeed as most of you know our two primary subscription streaming services are CBS All Access and Showtime. By getting in early, we now have clear evidence that these services are working and as they continue to scale, we are outperforming our expectations as well as the targets we previously laid out for you. And so today, I'm pleased to tell you we have already achieved 8 million subscribers combined from these services. We originally told you we would hit that mark by the end of 2020, then last year we accelerated our commitment and said we hit that by the end of 2019. Now, we are announcing that we have already crossed 8 million subscribers nearly two years ahead of our original schedule. CBS All Access and Showtime are growing so rapidly that we're prepared to increase our future projections as well. Six months ago, we told you that our goal was to achieve 16 million subs from these two services by 2022. Today, we are raising that target to 25 million subs by 2022 more than triple the number we have now. And that doesn't include any subs from our international direct-to-consumer platforms which represent a significant additional opportunity for us, and it doesn't include our rapidly growing ad supported direct-to-consumer channels including CBSN, CBSN Local, CBS Sports HQ and ET Live all of which are contributing to make CBS All Access a unique and more robust content offering. In addition to the million sub I just told you about, we have another early mover advantage in direct-to-consumer and that is rich data which gives us valuable intelligence about the subscriber journey. We are hearing loud and clear that in addition to watching our content on-demand and outside the home our subscribers love our premium content and they want more of it, so our focus is squarely on delivering that to them. At All Access, we went from three originals in 2017 to seven originals in 2018 and here in 2019 we'll be adding four more to get us to 11 nearly quadrupled the number we had just two years ago. In that Showtime will be expanding our slate of original programming, increasing our documentary series, adding premium boxing events and launching a weekly talk show Desus & Mero for the very first time. In all Showtime will produce 30% more hours of original programming in 2019 than we did in 2018. That rich data I just mentioned also allows us to drill down and learn more and more about our viewer's preferences. This is very valuable to our content creators and to our advertising clients as well. Owning the customer relationship is critical and we are just beginning to achieve what's possible here and as we do it's enhancing the lifetime value of each subscriber who signed up for our services and allowing us for greater efficiency in reacquiring customers who have paused their subscriptions. As we increase the premium content we create, we are deliberately pursuing a two-pronged monetization strategy. First and foremost, we are building our in-house direct-to-consumer services. And second, we are benefiting from the lucrative business of licensing our content to third parties. Selling Star Trek: Discovery to Netflix internationally, while streaming it exclusively here in the US on All Access is emblematic of this strategy and provides for interesting opportunities for us going forward. Along the way, our in-house studios have been among the strongest players in the business. We are now creating 76 original series up 17% from just a year ago and we have several high - high, new profile projects that we're licensing to premium streaming services. These include Swagger from NBA star Kevin Durant and Imagine Entertainment which we're producing for Apple and it includes Diary Of A Female President that we're producing with Gina Rodriguez star of Jane the Virgin for Disney Plus. By the way the first project from an outside studio to be picked up by Disney's upcoming streaming service. But as I mentioned, our primary focus is to create premium content for our own key brands. At All Access we kicked off 2019 in a big way with season 2 premiere of Star Trek: Discovery. Next month the good fight returns and on April 1, Oscar winner Jordan Peele will take us to another dimension with the highly anticipated premiere of The Twilight Zone. Later this year, we'll add a true crime drama called Interrogation and a dark comedy called Why Women Kill from Marc Cherry the creator of Desperate Housewives which stars Lucy Liu. And we'll end 2019 by coming full circle with the launch of a new Star Trek series starring Sir Patrick Stewart as legendary captain John Luc Picard. At Showtime we continue to benefit from our strategy of giving audiences a full slate of must have content staggered throughout the year. In 2018 we had four of the top six hour long scripted shows on premium cable and we finished the year with an all-time high of 27 million subs. We also launched our highest rated limited series ever in the fourth quarter with Escape at Dannemora which earned Patricia Arquette Best Actress awards from the Golden Globes, Critics Choice, and SAG. The momentum continues here for Showtime in Q1. Last month Showtime set a new weekly screaming record with the return of Shameless and SMILF and the premiere of our new series Black Monday starring Don Cheadle. Ahead in 2019, we'll be launching two new series that are already getting a lot of buzz. The loudest voice in the room starring Oscar winner Russell Crowe as Roger Ailes and City on a Hill a drama starring Kevin Bacon that's produced by Ben Affleck and Matt Damon. As we continue to invest in original programming for CBS All Access and Showtime, we are extremely fortunate to also have the most watched platform in all of media, the CBS Television Network. Not only is CBS number one yet again, but we also have five of the top 10 series on television including the number one series Big Bang Theory and the number one drama NCIS and as importantly we have five of the top 10 new shows including four that we have ownership in. FBI, God Friended Me, Magnum P.I. and The Neighborhood. Come may, we are confident that we will win this season for the eleventh consecutive year and we expect to be number one with or without the Superbowl. We're also attracting viewers across platforms with our live event programming. Sean will tell you more about that on the sports side and in entertainment on Sunday the Grammys delivered 20 million viewers to the CBS Television Network and 24% increase in unique viewers and double-digit growth and time spent on CBS All Access once again all of this success is driven by our must have premium content. We're also number one in late night where Season-To-Date the late show with Stephen Colbert is number one across all key demos and his margin of victory has grown to 1.3 million viewers on average per night his largest yet. As part of those 76 series I just mentioned, Stephen Colbert and James Gordon continue to create compelling content outside their own shows including Hobbes our cartoon president on Showtime and Corden's Drop the Mic on TBS both of which have been picked up for additional seasons. At CBS News, we are very proud to have Susan Zirinsky take the reins to build on the legacy of this great organization. No broadcast news producer is more highly respected and admired than Susan and she has already taken a number of key steps forward including the appointment of Bill Owens as executive producer of 60 minutes, which in its 51 season is yet again a consistent top 10 show. In local media 2018 was a record year for political spending and as I mentioned, we have also begun to roll-out our local direct-to-consumer streaming services starting with CBSN New York which launched during the quarter. We'll be expanding to other major markets in 2019 beginning with Los Angeles. Just like we achieved a whole new revenue source for our stations with retransmission consent fees, we believe building local major market direct-to-consumer streaming services will help grow this business for many years to come. Turning the Publishing Simon & Schuster delivered 206 New York times bestsellers in 2018 up 6% from the prior year. This is also a business that is taking advantage of the changes in consumer habits. More than 4000 titles are now available in digital audio where our revenue has grown 20% from last year. So, across our company we continue to demonstrate consistent and sustainable growth by doing what we do best creating premium content. And now more than ever investment in content is our best and highest use of our cash and provides the best return for our shareholders. Content investment drives revenue growth opportunities in retrans and reverse comp and in virtual MVPD's and in global licensing and in advertising and it's especially powerful for driving growth at our direct-to-consumer platforms. So, from CBS News to CBSN and CBSN Local from CBS Sports to CBS Sports HQ, from Entertainment Tonight to ET Live from CBS to CBS All Access and from traditional Showtime to Showtime over the top our direct-to-consumer services are our future where others are just announcing their ambitions we are hitting our stride poised to take significant leaps ahead and that's because we offer live on-demand programming across news, sports, and entertainment nationally, locally, and internationally this gives CBS a unique value proposition that will continue to resonate with consumers as their viewing habits continue to change. Lastly, I want to say how proud I am of the thousands of CBS employees who kept their focus during this challenging year and worked so hard to achieve the record results you see here today. As you heard, we're very excited about our growth strategy and we feel very good about our future as a global multi-platform premium content company. We couldn't do this without our greatest asset of all, our people. With that, I'd like to hand the call off to one of those key people Sean McManus. Take it away John.
Sean McManus: Thank you, Joe and hello everyone. CBS Sports is in the middle of one of the most remarkable runs ever with four marquee championships in the span of just four months. The Super Bowl, the NCAA Basketball Championship, The Masters and for the first time ever in May, The PGA Championship. Nothing else in media can deliver the type of audience like a major sporting event on broadcast television and we are thrilled that CBS Sports is leading off 2019 with four of the most watched and most anticipated sporting events on the calendar. These high-profile events lift the value of the entire CBS Corporation, they generate significant advertising dollars drive subscribers to CBS All Access and provide a promotional platform that cannot be beat. And for MVPD's, virtual MVPD's and television stations our extensive portfolio of sporting events make CBS a must carry driving strong and steady increases in affiliate and subscription fees. While the biggest of our major sporting events is of course the Super Bowl which delivered an audience of over 100 million viewers easily the most watched broadcast of the year and that doesn't include the 12 million viewers who watch the broadcast outside of their homes. It was also the single highest revenue day for CBS generating hundreds of millions of dollars in ad sales with 30 second spots hitting a new all-time high. In their first Super Bowl together Jim Nantz, Tony Romo and Tracy Wolfson were outstanding. Tony's ascension has been just remarkable. Four years ago, just before the Super Bowl in Arizona, CBS Sports President David Berson and I ran into Tony at the commissioner's party. I asked Tony what he thought of the Super Bowl match-up between New England and Seattle and he responded with an unbelievably passionate and insightful breakdown of the game. After we spoke, I said to David that man is going to be a lead analyst one day, I just hope it's with us. Well we stayed in touch and when Tony retired two years later, we made the bold move to take him straight from the field to the number one NFL analyst position something that had never been done before. Yes, it was a risk, but it was a calculated risk and in just two short years Tony has become a huge media star and is already considered by many to be the best analyst in all of sports television. There is no doubt we made the right move bringing him on with Jim and Tracy, the team is just extraordinary. They delivered one of the best all time Super Bowl performances and we expect Tony to be at CBS for many years to come. Beyond the game itself, the Super Bowl provides an incredible platform for the CBS Corporation after the game, world's best launched as the most watched season premiere on any network in nine years and the late show with Stephen Colbert scored its third highest viewer total ever. On our direct-to-consumer platforms, the Super Bowl also helped deliver a record-breaking day for CBS All Access in terms of new subscriber sign ups, unique viewers, and time spent and it helped set single day records for unique viewers and streaming minutes at CBS Sports HQ our 24/7 sports streaming network. Super Bowl 53 was also the biggest single revenue day ever for our station group, as well as the all-time biggest day for ad sales at two of our owned stations KCBS in Los Angeles and WBC in Boston. Super Bowl 53 was the culmination of a strong NFL season, the NFL on CBS was up 6% from last year's regular season and the playoffs were up 12% and of course the AFC championship was one of the truly epic games of all time, the second most watched AFC championship game in 42 years. While the season officially ended 11 days ago, we've already begun meeting with the NFL to plan for next year. We expect another great AFC slate next fall bolstered by our new arrangement that gives us several high-profile NFC games as well. With the Super Bowl in our rear-view mirror, we are now shifting our focus to an event that captivates America for two and a half weeks, the NCAA men's basketball tournament. This year the madness concludes with the final four and championship games all airing on CBS in early April. Once again this is great not only from a national perspective but also for our owned and operated stations as well as our local affiliates. Well, from the final four Minneapolis we head to Augusta for a tradition unlike any other, the masters on CBS. This will be our 64th consecutive masters and it's by far the most watched and most anticipated golf tournament each and every year. Also, in golf we recently signed a new 11-year agreement to broadcast the PGA championship through the year 2030 and beginning this year the PGA championship will move from August to its new permanent date in May, we could not be more pleased. The viewership will be up in May and the sales marketplace is much better in May and having the masters in April and the PGA in May solidifies our position as the broadcast leader in golf as the only network with two major championships and more PGA tour events than anyone else. At the conclusion of this deal, CBS Sports will have been the home to the PGA championship for 40 consecutive years. All of these long-term deals are the result of decades long relationships that we enjoy with our major rights holders both parties have mutually benefitted in having big live sporting events is more important than ever in this rapidly changing media landscape that's true not only for our broadcast network but also for our digital platforms. The longer we lock up preeminent sports properties, the better positioned we are strategically, and our top tier properties extend into the next decade and beyond. This includes our deal for March Madness which runs through 2032 and at the conclusion will mark 51 consecutive years on CBS. That also includes SEC Football the highest rated college football package for 10 straight years which goes through 2023, we expect to reach a long-term extension well before then keeping the best games from the best conference here on CBS. That also includes the army navy football game which extends through 2028 and that includes our 59-year partnership with the PGA Tour which continues through 2021. We also plan to renew these rights well before the expiration of this agreement. Finally, we have four years remaining on our NFL contract and we fully expect to keep the NFL on CBS for many years to come. As we prepare to renew our rights, it's important to remember the absolute power of CBS and our full portfolio of broadcast and streaming assets while the NFL has been very good for CBS, CBS has indeed been very good for the NFL generating huge audiences and interest in the game and when you add the distribution reach of our digital audience including CBS All Access and Mobile our cable properties and the strength of our local stations to the power of America's most watched broadcast network it's easy to see the tremendous value that CBS brings to the NFL. I still remember doing our first deal to bring the NFL back to CBS, 21 years ago and now we just had our twentieth Superbowl on CBS more than any other network. Well, times have changed the one constant is that both parties have mutually benefited. As the NFL states often, they strongly value and prioritize the reach of broadcast television. These facts are not only true for NFL relationship but for all the partnerships I just mentioned. In addition to broadcast rights, we are proud to set the industry standard with our production expertise and our continued innovation in technology both of which are extremely valuable to our partners and our viewers. For decades they have relied on our expertise, whether it's producing up to eight NFL games on a single Sunday afternoon leading the production for the Masters, the PGA Championship and PGA tour events or broadcasting multiple games and updates at the same time during the NCAA tournament. They know they are getting the best in the business in front of and behind the camera and a network that takes enormous pride in covering their events. And our innovation doesn't stop on the big screen either, CBS is it well ahead of the game in reaching new and younger viewers who prefer to watch on mobile and digital devices, and we make it a priority to include rights for all CBS platforms in all of our deals. All of our properties including the PGA tour events, the NCAA Tournament, the Masters, the PGA Championship, SEC Football and NFL Football are currently available to stream live on CBS All Access. This extends our reach to a wider audience and allows fans to view our content however they choose benefiting CBS as well as all of our partners. CBS Sports continues to be a visionary in the sports digital and mobile space. In 2018, we ranked number two among all digital properties for the second consecutive year. The launch of CBS Sports HQ nearly a year ago was truly ground breaking and unique in the industry and it continues to grow in all key viewership metrics and with their data driven sports line property our focus on expert picks and predictive analysis along with our proprietary algorithms, we are well in the early days of capitalizing on the expansion of legal sports gambling. I'm confident that CBS Sports is extremely well positioned for the future. We strategically aligned with our best in class league partners and have carefully nurtured these mutually beneficial relationships for many decades. Live sporting events attract big broadcast audiences and that becomes more important every day in delivering ad dollars in growing subs and fuelling increases in retrains, reverse comp and virtual MVPD's driving revenue for the entire corporation. With signature properties locked up for the long-term, the rights to broadcast these events across multiple platforms and continued innovation to serve sports fans, CBS will continue to bring consumers exceptional sports coverage in all the ways they want to watch it and with three more major events to come over the next three months that will be on full display right here on CBS. And with that, I'd like to turn the call over to Chris.
Christina Spade: Thank you, Sean and good afternoon everyone. As you heard CBS continues to thrive in the rapidly evolving media landscape driven by our strategy of creating must have content and delivering it to consumers on any platform make you. That's true whether it's the Super Bowl, March Madness or any one of the big sports championships that Sean just mentioned or Young Sheldon, FBI or any one of our hit shows on the CBS Television Network or Lily and Ray Donovan are the premier pay-per-view boxing events we have on Showtime or Star Trek: Discovery, The Good Fight or the upcoming Twilight Zone on CBS All Access. As a result, we delivered all-time highs in revenue, operating income and earnings per share for both the quarter and for the year while also investing more in our content and new distribution platform. As Joe mentioned, we have created a new fast growing and highly scalable revenue stream with our direct-to-consumer streaming services, CBS All Access and Showtime. As consumer behavior and the marketplace evolve direct-to-consumer offers a tremendous opportunity and we are strategically focused to capitalize on this growth. With our strong record of success in developing hit series, we are now further positioning our direct-to-consumer platform for accelerated growth by leaning even more into our programming. Now, let me give you some more details about our fourth quarter results. Revenue in the fourth quarter grew 3% and as you heard exceeded $4 billion for the first time, first time ever and we achieved this increase even without the benefit of Thursday Night Football. Affiliate and subscription fees were up 11% in the fourth quarter to more than $1 billion driven by 53% increase in our direct to consumer subscription revenue and once again as the stand-out in the industry our CBS and Showtime subs grew across platform and were up 7% year-over-year. Retrans and reverse comp were strong and finished 2018 at just over $1.6 billion and altogether retrans, reverse comp and virtual MVPD revenues increased 22% for the year. Content licensing and distribution revenue totaled $1.1 billion for the quarter compared with $1.2 billion in the prior year due to the timing of sales [ph] which can be lumpy quarter-to-quarter. For the full year, content licensing was up 3% to $4.1 billion this is the first year we have crossed $4 billion for content licensing. Advertising was up 7% to $1.9 billion in the fourth quarter as you heard we had a record year on political at our local media business. And at the CBS Television Network growth in underlying network advertising accelerated and was up 2% in the fourth quarter. For the full year 2018, network advertising came in at $4 billion which is consistent with prior years. Also, during the fourth quarter operating income grew 10% to a record $837 million even with our increased content investments our operating income margin expanded by 0.21% and EPS grew 25% to $1.5 or highest for any quarter. On a full year basis, as you've heard we delivered our best ever result. Revenue was up 6% to $14.5 billion, operating income was up 5% just over $3 billion and EPS was up 18% to $5.19. Now let's turn to our operating segment. Entertainment revenue for the fourth quarter was $2.83 billion from $2.86 billion a year ago mainly due to the timing of licensing sale. Affiliate from subscription fees continue to grow strongly and were up 17% led by increases in reverse comp and growth at CBS All Access and advertising increased 2%. Entertainment operating income in the fourth quarter was $438 million compared with $465 million in the prior year reflecting our increased investment in programming and our direct-to-consumer platform including the launch of both ET Live and Ten Will access in Australia. At our Cable Network segment revenue for the quarter grew 8% to $551 million. Our showtime subs increased in linear and direct-to-consumer both sequentially and year-over-year with accelerated growth on our OTP platform. The segment also benefited from higher international licensing sales and Showtime is positioned as the number one boxing network including the Deontay Wilder Tyson Fury pay per view boxing event in the fourth quarter. Operating income for cable networks was $193 million in the fourth quarter compared with $207 million in the prior year reflecting our increased programming investment including the launch of the critically acclaimed limited series Escape At Dannemora. In publishing revenue for the fourth quarter was $218 million compared with $235 million in 2017. Best-selling titles in the quarter included Elevation by Steven King and Queen of Air and Darkness by Cassandra Clare. Publishing operating income for the quarter was up 2% at $46 million driven by lower production costs and the operating income margin expanded two points to 21%. At Local Media, fourth quarter revenue increased 25% to $561 million led by record political spending. In terms of other advertising categories, healthcare and entertainment grew strongly in addition retrans increased 11% for the quarter. Local media operating income for the fourth quarter was up 72% to $239 million, yes 72% and the local media operating income margin expanded 12 points to 43%. Turning to cash flow and our balance sheet. For the year free cash flow of $1.3 billion grew 27% even with our higher programming investments. The increase was driven by lower cash taxes as well as continued growth in our affiliate and subscription fee. During the fourth quarter, we negotiated an agreement to sell TV City for $750 million which limited our share repurchases. We repurchased $100 million of our stock in Q4 and for the year we repurchased $600 million. As we look to 2019, we are focused on investing even more in our core content business. In the first half of the year, we will allocate 100% of our cash to invest in the business and improve financial flexibility and the second half of the year we will be opportunistic in buying back our stock. We will fund our additional content investments efficiently in a few ways from strong direct-to-consumer revenue growth by unlocking value from our non-core assets such as our TV City deal which closed January 31 and by streamlining our organization and reallocating resources which is at least a $100 million opportunity for us. And we will do all of this while remaining committed to our solid debt ratings. Now, let me tell you what we see ahead. With the big events sports programming from the Super Bowl and NCAA men's basketball championship that Sean just told you about. We expect 2019 to be a record year in advertising. Here in the first quarter of 2019, demand for national advertising remains robot and scatter is pacing to be about 25%. And at our Local Media segment revenue for the first quarter is placing to be up high single-digit. In content licensing, we continue to build our content pipeline with new hit shows on CBS, CBS All Access and Showtime. As we evolve our licensed windowing approach to ensure that we're maximizing the offerings of our direct-to-consumer platform, we believe we will see more licensing opportunities as others pull back from the marketplace. So, we are remaining opportunistic and fully modify our content in smartest way possible. In affiliate and subscription fee revenue, we continue to capture the true fair value of our content as we renegotiate deals in retrans and reverse comp. We have about 70% of our subscriber base coming up for renewal over the next two years. And in direct-to-consumer as you heard, we already hit our previously stated goals and we have set a new target of 25 million subscribers combined by the end of 2022. As we lean more heavily into programming, marketing and technology investments. Overall from retrans and reverse comp, virtual MVPD, direct-to-consumer, international content licensing and new opportunities in advertising, we are on track to meet or exceed our goals that we previously laid out for you. So, in summary CBS continues to stay ahead of the changes in our industry by moving early, executing on our strategy and investing wisely for continued long-term growth. In the evolving media landscape, we are well positioned to deliver the best programming to consumers no matter how they watch our content. As we continue transformer revenue mix, we have more visibility into our future than ever before. So, we are now able to provide you with a multi-year outlook. Through 2021, we expect the revenue CAGR in the high single-digit and an ETS CAGR in the double-digit up from the record ETS of $5.19 we reported today. This aligns our financial goals with our long-term strategy, so investors can see the power of the growth opportunities ahead of us. In summary, we continue to invest in our company's multi-platform future, and we remain as focused as ever on maximizing our revenue opportunity to deliver long-term growth for our shareholders. With that Greg, we can open the line for questions.
Operator: Thank you very much ma'am. [Operator Instructions] And first from Morgan Stanley, we'll hear from Ben Swinburne.
Benjamin Swinburne: Thank you. Not a Cowboys fan, but will agree with you on Romo being excellent. Sean, I wanted to come back since you're on the call and you're talking about the NFL, I'm sure you're aware there's a lot of focus on the upcoming rates renewal in the marketplace. How do you think about or how should we think about the risk around the technology platforms entering this upcoming auction, I think gets to an auction? And how do you think the NFL in particular is thinking about those platforms as an option? And then I don't know if you people are going to help us on this, but any sense for timing as to when you think there may be a resolution on all those? Is this a 2019 event or do you think this is -- that moves on further into 2020? And then I have one follow-up.
Sean McManus: I think it's probably further into 2020 or beyond. And I think the NFL probably wants to get their collective bargaining agreement done first before they talk about the television deals. And I can't speak for the strategy of the digital companies, all I can speak for is CBS and since we brought the NFL back to CBS in 1998, we've been successful three times in renewing our rights and I would expect to do so again. The NFL, I think, values and they've set these values very highly, broad distribution of their product and there's no better broad distribution than the number one network at CBS.
Joseph Ianniello: And Ben, it's Joe. Look, I would just add to that. Just look at Thursday Night Football as an example where they could certainly experiment it and went to a streaming platform exclusively. I think they love to reach broadcast which is their core demographic audience, I don't think you ever want to kind of cut off your core audience. So, the broad reach of broadcast is just an example, I think Thursday Night Football just proves that.
David Bank: Thanks, Ben. Okay Greg next question. I'm sorry. Are you still there, Ben?
Benjamin Swinburne: I'm still here.
David Bank: Yes.
Joseph Ianniello: Please do, Ben.
Benjamin Swinburne: Okay. I was going to ask Joe, Am I still there?
David Bank: Yes. Go ahead, Ben.
Benjamin Swinburne: Now that the Board, the new Board has been around for a little bit, Joe, I'm just wondering if there's been any change in how they think about the company's strategy or capital allocation. I know you talked about sort of pulling back in the buyback near term and I've heard from you guys, it's never been a better time to invest in the business, but any update on how they think about the company's strategy, positioning and capital allocation that we should be aware of now?
Joseph Ianniello: Yes, I think, as I said a little bit in my remarks, Ben, I think working with our entire senior management team going through our new Board process and orientation, if you will, understanding and really laying out the priorities from a management team as we see it, I think we are 100% aligned with the Board in that the best and highest use of our capital is to create more premium content. They're seeing -- they see the returns, they see the math of it, so they see the unit economics and they're saying, well, why can't we do more? So, I think we're really synced up with them on that front. And so, we want to create -- focus our energies and our capital to doing what we do best in creating content. So, I couldn't be more pleased with that.
Benjamin Swinburne: Thank you.
David Bank: Okay. Thanks, Ben. We'll take the next question now, Greg.
Operator: Absolutely. Next, we'll hear from Alexia Quadrani with JPMorgan.
Alexia Quadrani: Hi. Thank you very much. My question is really on the CBS All Access and the impressive targets you guys put up today. Any more color in terms of the mix, in terms of how much is Showtime versus CBS All Access and what the trajectory looks like to get there? What does that suggest for your linear business in terms of you see sort of, maybe -- is it all additive or will it be an accelerated decline in the linear business? I guess, any color on that front.
Joseph Ianniello: Yes. Sure, Alexia, it's Joe. Look, the 25 million sub we just provided, I think you should assume it's approximately about 50:50. We have healthy competitive rates going on between our two siblings here. And so, we like to tweak them both each if one passes each other for a period of time. So, it's really healthy. But about -- I would think about that 50:50, if that helps. As you could see, we've moved up these targets quite substantially. As you can see, today, it's really driven by original programming, live, big event television, catch-up viewing, deep library, all of those things are really what's driving the subscription services. But I would say, look, it's been additive certainly to-date and we see that continuing, because as we've said, our subs are up. So, in the traditional space, when you look at our subs across CBS and Showtime, forget about the ARPU, I'm literally just even just focused just on the sub count. So, our subs are up and clearly All Access is growing rapidly. And so, we want to lean into that further. So, we really like the position that we're in.
Alexia Quadrani: And then with 25 million subs, what does that say about the advertising opportunity? I would assume that's a pretty sizable opportunity on your digital platform?
Joseph Ianniello: Alexia, I mean, I hope it came across in my comments, but again the data that we're getting, we're really starting to sell beyond demographics. And I think that is really proven to be extremely valuable to our advertising clients, but also to the content creators as hopefully, we can make shows that speak to our audiences as we learn more and more about them. The example I always use, Showtime has been in the subscription business since inception, but never had any of the data on the subscribers, because the third-party distributors had a hold of that. Now we have that for the first time and we're being -- we're getting smarter and smarter with all that. So, it's really -- this data is really helping us on a two-pronged approach. The advertising has been much more effective for our clients and really helping our content creators to be more efficient.
David Bank: Thanks, Alexia. Greg, we'll take the next one.
Alexia Quadrani: Thank you very much.
Operator: Moving on, we have Jessica Reif Ehrlich with Bank of America Merrill Lynch.
Jessica Reif Ehrlich: Thanks. My first question, Joe and/or Sean, is on sports gambling. How are you thinking about that opportunity for CBS from multiple perspective as an ad category to monetizing across the board as a company?
Sean McManus: Hi, Jessica, it's Sean. We're looking at it really carefully. It's still only allowed in eight states, so it isn't really a national play yet. The local advertising has been there and I think once it becomes more national, you'll probably see more national advertising. I mean we're looking at it really closely. We have not yet chosen a partner. A lot of people want to partner with us. We haven't chosen anybody yet, but we're looking at it very carefully. And I think both from an advertising standpoint and, hopefully down the line, from an engagement standpoint, it can increase the value of our live programming.
Joseph Ianniello: Yes. And, Jessica, all I would add to that is obviously, from our programming standpoint, we have CBS Sports HQ, which is a 24/7 streaming service and we have a cable property with CBS Sports Network. So, we certainly have platforms to really monetize this type of content as well, as well as just selling it, I think, our reach will be very available to the publishers as they want to expand that business.
Jessica Reif Ehrlich: And then -- thank you. And then my follow-up is, Joe, you just made a really interesting comment about selling to -- as others pull back, you see that as an opportunity. Could you talk -- just give us a little more color on that? And where are you in your current Netflix deal?
Joseph Ianniello: Yes. Well, when you say current -- I mean, we're in -- we have multiple Netflix deals. Just we sell different pieces of property to Netflix and others. So, look, I highlighted a two-pronged approach, meaning we certainly want to evaluate if we have a franchise, let's use Twilight Zone as the example coming up, how many subscribers are we going to generate here and abroad? And are we maximizing the value of it? And what is the marketplace willing to pay us for that franchise? The content licensing business is a great business. Make no mistake about that. So, we want to make sure we're always open to doing that, because if a third-party is better able to monetize it than our infrastructure, we should take the excess value we've receive and redeploy it into making more contents. So, you're hearing others pull back on selling to third parties. And so, we believe that our beachfront property is going to be even scarcer. So, we really want to sit back and evaluate our approach to licensing, but we definitely see it continuing for the foreseeable future.
Jessica Reif Ehrlich: Thank you.
David Bank: Thanks, Jessica. Greg, ready for the next question.
Operator: Next from Guggenheim, we have Mike Morris.
Michael Morris: Thank you. Good afternoon. Two questions. First, at the entertainment segment, the rate of affiliate growth, the subscription growth slowed compared to the prior quarters. And I'm hoping you can help us with maybe what some of the factors were there? And how to think about that pace of growth going forward? Was it on -- was there anything -- I know you've got renewals in the fourth quarter last year, did that contribute or Thursday Night Football payments or anything related to that? And you mentioned the 70% renewals over the next two years. Could you help us with any renewals that will impact the coming year? And then I want to ask one about programming.
Christina Spade: Sure. Hi, it's Chris. Thanks for the question. So, in terms of this year, it's all timing. I mean, in terms of our trajectory for growth, it's strong and there is no concern there. It's truly timing. In terms of the next two years, the 70% renewals, it's consistently across the two years and we really feel that we're going to reset our rate to fair value like we've done in the past. So, from the standpoint of where we are with that, we're coming from a position of strength.
Michael Morris: Okay. Just to be clear then, when you mention timing about the 17% growth in the fourth quarter, does that look like a run rate for you as you go into the next year? Was that sort of...
Joseph Ianniello: Mike, it's just the timing when the deals get reset. I think Chris was highlighting. So, I think again, as you know, we have a big one in the middle of next year that will reset. And so, I think it's really what quarter it falls in. But as you know those deals when they get reset depending where they're coming from, obviously, the increases could be substantially higher than 17%.
Michael Morris: Okay. Thanks for that. And then on the programming side. As you look to drive more subs to All Access and you put more original content on there, how do you think about All Access being a first window for your programming investment and then making that content available perhaps in your primetime slate later in the year, is that something you're concerned about?
Joseph Ianniello: Yes, Mike, it's an interesting comment, because we're discussing that literally as we speak in that -- again, the great part of owning the intellectual property is you have choice. And so, for instance, just how the syndication business has proven to be extremely valuable over the years, it's not a new business, but historically, right we've taken shows off net after three or four years and put them on cable networks and/or streaming services, the older series, to drive awareness back to the broadcast network. When we look at A Good Fight, for example, and we see a few million people have watched The Good Fight given that it's exclusively on All Access, what if we took season one of The Good Fight and put it on the CBS broadcast network to drive subscribers back to CBS All Access. And so, we're literally thinking all of the possibilities through. It has to be broad enough to have mass appeal for the CBS broadcast network. So, we're not going to ever lower our standards there. But because the quality of the content we're producing at All Access does that, the promotional platform that the network has is bigger than the streaming platform and/or other Cable Networks. So, we're really thinking about that going forward and obviously that has an effect, Mike, of reducing costs, because it would reduce development cost across the company. So, it's really an efficient use of the intellectual property, i.e. the franchise we have. And so, that's a pretty astute observation you made and just know we're discussing it as we speak.
Michael Morris: Great. Thank you.
David Bank: Thank you, Mike. Greg, next question, please?
Operator: Absolutely. Next, we have Michael Nathanson with MoffettNathanson.
Michael Nathanson: Thanks. I have one for Sean and one for Joe. Let me start with Sean, first. I hear you on why reach is why the NFL stays with you and why digital may not get the next contract. But how you guard against maybe another broadcaster moving into Sunday Day and chasing CBS out? So, how do you think about that competitive set versus other broadcasters?
Sean McManus: Michael, it's like every sports negotiation. There are usually more than one party that wants to acquire a right. I think they'll be competition potentially for all of the different NFL packages. But, I'm confident. And listen the exposure we give to NFL obviously is important just as important obviously is the rights payment that we pay. We've always been competitive in that area when it comes to the NFL. And I would think Michael we would be competitive the next time around. So, I can't predict who else is going to come after our package or how much competition there will be, but knowing the kind of support the corporation has given the NFL and knowing the kind of contribution NFL makes to the overall company, I would think we would hopefully figure out a way to come to a deal with the NFL as we have so successfully in the last 20 years.
Michael Nathanson: Okay. Thanks Sean. And then for Joe, can you give us a little color on international syndication? What are you guys seeing in the marketplace? Is anything slowing? Are you holding back any content internationally that may affect growth rates going forward?
Joseph Ianniello: Yes. Michael, look, the international marketplace remains robust. So, like I said earlier, again, that's sold a little differently than the domestic marketplace, as you know. So, when we have five of the top 10 new shows on television that really reloads our international sales team. So, we haven't seen any slowdown at all, quite the opposite. I mean, we see strong demands. We see that continuing. So, I don't know will our approach be different as we roll out All Access internationally. We still probably see it initially as the second cycle or co-terminus, but really depending upon what these licensors -- licensees, I should say, want to pay. We're going to have optionality as we approach the marketplace, but I don't see anything changing in the international marketplace in the foreseeable future.
Michael Nathanson: Okay. Thanks, Joe. Thanks, Sean.
Sean McManus: Thank you, Michael.
Joseph Ianniello: Thanks, Michael.
David Bank: Greg, next question?
Operator: Next, we have Bryan Kraft with Deutsche Bank.
Bryan Kraft: Hi. Good afternoon. I had a couple. Sean, I wanted to ask you, the basic structure for the Sunday Afternoon and Monday Night Football packages have been in place for a long time. Could you envision that structure changing this time around in order to allow more companies to participate in broadcasting NFL games? And then, Chris, I just wanted to ask if you could help us to size the political revenue contribution in the fourth quarter or the contribution in the growth? And then, I don't want to leave out Joe, so one for you too Joe. Canada All Access launch, how's that gone so far? What have you learned? And can you talk about the timing and the ramp for additional international launches? Thank you.
Sean McManus: I'll go first Bryan, it's Sean. It's a little hard to predict. I know that there are -- there's obviously a number of very successful packages on broadcast television and on cable television. I think though the mix of games and the individual schedule works really well for the consumer. So, it wouldn't surprise me at all if the same kind of paradigm existed during the next negotiation. But I do think there could potentially be increased interest in different packages by different networks. So, I hope I'm answering your question. I think we need to be flexible. I think the Sunday AFC package works really well for CBS. It aligns perfectly with a lot of our owned-and-operated stations. So, that would be the package that we would, hopefully, renew. And again, I can't speculate who else would want that, but I know the value of that it brings to the network, I think we'll hopefully do what is necessary to make sure the NFL stays on CBS.
Christina Spade: Hi. Bryan, thanks for the question about political. So, I said 72% twice on purpose in my comments. We did a little over $100 million in revenue for political advertising, so it was really a strong quarter and political inciting is good for CBS. Joseph Ianniello -- President and Acting Chief Executive Officer And Bryan on Canada, what I could say is that, I wish the country was bigger. As you know, it's a little north of 10% of the United States and it seems to be following that pattern when we launched All Access here in the States. So, that's good news. I would say though as we launched Australia in Q4, what we saw there was actually a faster pickup and I think that's because we had live local programming, because we own Network 10. So, the offering in Australia is a little bit different with the live local programming and I think that's also a key part of the overall value proposition that consumers are resonating and that's why we're launching our local services here by market, because what we think the streaming services for CBSN Local again ad supported, but very valuable to the consumer engaged with the content local news, sports, weather, traffic 24/7, really is a nice value proposition from a trusted reliable brand at CBS. So, we're going to continue that. So, internationally, we're going to continue to roll these out, kind of market by market. I think we should think in English language speaking first and as we expand where we have pockets and it's not impacting content licensing negatively, we'll go aggressively in some of these emerging markets. So, stay tuned for more.
Bryan Kraft: Okay. Thanks very much.
David Bank: Thanks, Bryan. Let's take the next question, Greg.
Operator: Next question will be from Doug Mitchelson with Credit Suisse.
Douglas Mitchelson: Thank you much. So, Joe, I'm going to ask a question and you are probably not going to answer, so I'm going to give you my follow-up and my clarification at the same time. The question Joe is, there's been a lot across the board actively concerning strategic options for CBS particularly pursuing a merger with Viacom, is that accurate? And the clarification, Christina, is on the multiyear double-digit EPS guidance, should we assume as also double-digit EPS growth in each of those years? And how much of those growth is, if any, should we assume is driven by buybacks? And lastly my question is, Joe, does your data and research suggests CBS All Access would be dominated by cord-cutters in core networks? Or do you think consumers of the live TV bundle will also subscribe? And if so, like how much more content do you need to make it attractive for those households? Is there anything beyond content that you're doing to drive growth at CBS All Access? Thank you so much.
Joseph Ianniello: So, Doug, you are right, I'm not going to obviously comment on any Board actions. I think that's obviously up to the Board of Directors. The management team is focused on operating the company. Obviously, we just posted our best year in quarter, as we said, in our history. At a company where it's over 90 years old to give guidance of a multiyear where your revenue growth rate for the next three years are going to grow faster than your last three years, it's pretty impressive. So, that's what we're focused on. I know you asked Chris about the EPS and stuff like that, we're not going to break out individually by year, because we think it's important to look at it over the two-year period. I think the numbers are quite healthy. Like I said, we see it accelerating. On the data stuff. Look, I think, we're going to see. And so, what we know to-date is our consumers are saying they want more. So, we're going to give them that and we're going to see as we go. And that's why we said we're going to add four new series. We're not adding 10 new series, we're adding four. And so, after that goes, we're going to see what data suggests there and then as that goes. So, it's opportunistic the investment. So, we can scale it back. We can lean into it further, but everything we're seeing again is our best and highest use of our cash is to make another hit original and put it on Showtime or CBS All Access and monetize it for many, many years to come. And, obviously, you've seen the power of the broadcast television network as part of that strategy. And so, we're really in an enviable position. And I think that's why you see lots of other companies coming into the media space, tech companies, distribution companies, they wouldn't be allocating fresh capital to this sector if they didn't see significant growth opportunities and the good news is, we're well positioned, we've been ahead of the game and we're experts of what we do and we're going to continue to do what we do. So, I'm not sure if I answered your question Doug, but it was a good one.
Douglas Mitchelson: I think the part, Joe, I think the heart of the question is, is it as simple as more content will bring in more subs or are there other things you need to do to execute a CBS All Access to drive that kind of scaling up of the service?
Joseph Ianniello: Well, Doug, I think there is other things. I mean the technology have to work. So, the first thing I want to take a little victory lap for is our technology works. I believe, it's the only platform in this country that is done partnering with all of our local affiliates that has 180 different commercial ad loads that has live local programming plus catch-up viewing, plus original series inside and outside the home. So, you got to have scalable technology that works. It gets out of the way of the consumer. You have to have premium content that engages them on a consistent basis. And so, if you do that, I mean, at some point will you get to the law of diminishing returns? Sure. We are nowhere near that as we sit here today. And so, we're going in based on the data points that we've seen because we've been at this for three years now. And so, we have some really good proof points that suggest that. So, we don't have to bet the company in order to kind of lean into this. And so, we will see how big the opportunity is. But again, you just see the numbers today. We pulled up -- when we made the prediction in 2016 at that Investor Day, we had basically zero subscribers. We said 8 million by 2020. we've crossed 8 million already. So, I mean just pause and think about that. And they're telling us when they passed this subscription they say, we want more. So, let's give them more. And hopefully again as I said in that, the reacquisition cost is much more efficient and they're coming back. They're not leaving the ecosystem. They just want more. And so, let's give it to them.
Christina Spade: Yes. I would also add to that that we have a strong programming pipeline that we're going to pull from. So, it's not just about creating the programming but it's also creating quality premium programming that people want to watch.
Douglas Mitchelson: Okay. Thanks very much, guys.
David Bank: Greg, we're going to go to our last. I'm thinking we have time for this final question.
Operator: Okay. So, finally, we will hear from David Miller with Imperial Capital.
David Miller: Yes. Hi, guys. Chris, two questions for you. Are you noticing anything changing with regard to your news gathering cost due to the process of CBSN? I would think that as you scale that entity up, that's just an enormous advantage with your news gathering cost, but it's obviously new and it might be early days. I'd like to hear that from you? And then also on the $105 million restructuring charge, how much of that was related to any kind of impairments on the mid-city Wilsor building, the CBS Television City building? And then I have a follow-up for Sean, if I may. Thanks.
Christina Spade: Okay. Sure. Thanks for the question. So, on the news side, there is really not of incremental cost that really drives revenue growth. We're highly monetizing the products and it's really going to just build our revenue portfolio. On the restructuring, $0 are related to that.
Joseph Ianniello: And David, you should know that deal closed in January, so that cash again was received in January.
Christina Spade: Right. January 31st.
Joseph Ianniello: So, you have a follow-up for Sean?
David Miller: Got you. Yes, and then Sean, correct me if I'm wrong, weren't there a couple of years with regard to your Masters broadcast where either all four rounds or maybe two of the weekday rounds were broadcast ad-free? And if you intend to do that again, what kind of dynamic ad insertion opportunities do you see taking place for this year's Masters? Thanks.
Sean McManus: Yes. No, we do not intend to do anything differently with the Masters commercial rotation this year. It'll be the same as it's been.
Joseph Ianniello: There's no change. As you know, those are limited sponsorships spots that they have there, David. And we do the weekends, we do Saturday, Sunday.
Sean McManus: Yes, Thursday and Friday are on, David, on ESPN, we just do Saturday and Sunday.
Joseph Ianniello: Okay.
David Miller: Got you. All right. Thank you.
Joseph Ianniello: Thanks, David.
David Bank: Thank you, David. Okay. Thanks, Greg. This concludes today's call. Thank you everyone for joining us, and have a great Valentine's Day evening.